Operator: Good afternoon. My name is Paul, and I will be your conference facilitator today. At this time, I would like to welcome everyone to the Manhattan Associates First Quarter 2025 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] As a reminder, ladies and gentlemen, this call is being recorded today, April 22, 2025. I would now like to introduce your host, Mr. Michael Bauer, Head of Investor Relations of Manhattan Associates. Mr. Bauer, you may begin your conference.
Michael Bauer: Great. Thanks, Paul, and good afternoon, everyone. Welcome to Manhattan Associates' 2025 first quarter earnings call. I will review our cautionary language and then turn the call over to our Executive Vice Chairman, Eddie Capel for some brief opening commentary before he hands it off to our President and Chief Executive Officer, Eric Clark. During this call, including the Q&A session, we may make forward-looking statements regarding future events or Manhattan Associates' future financial performance. We caution you that these forward-looking statements involve risks and uncertainties are not guarantees of future performance, and actual results may differ materially from the projections contained in our forward-looking statements. I refer you to Manhattan Associates' SEC reports for important factors that could cause actual results to differ materially from those in our projections, particularly our Annual Report on Form 10-K for fiscal year 2024 and the risk factor discussion in that report and any risk factor updates we provide in our subsequent Form 10-Qs. Please note that the turbulent global macro environment could impact our performance and cause actual results to differ materially from our projections. We are under no obligation to update these statements. In addition, our comments include certain non-GAAP financial measures to provide additional information to investors. We have reconciled all non-GAAP measures related to GAAP measures in accordance with SEC rules. You'll find reconciliation schedules from the Form 8-K, we filed with the SEC earlier today and on our website at manh.com. Now, I'll turn the call over to Eddie.
Eddie Capel: Thanks, Mike, and good afternoon, everybody, and thanks again for joining us this afternoon. Well, it certainly is an interesting time to be delivering a quarterly earnings report and maybe an even more interesting time to be providing forward-looking guidance. I think the words uncertainty and changeable don't really seem to appropriately describe the world we're living in today, do they? That said, in a moment, I'll have the pleasure of formally introducing you to Eric, our new CEO, who will cover our quarterly results. And given the timing of that transition, we shared the CEO duties during Q1. But since mid-February, we've both been working double time on the transition process. And I have to say, it really couldn't be going any smoother. Eric is getting up to speed very quickly, and we've had the opportunity to spend some time with our global teams, our partners, and some of our customers. And in a few weeks, I'm excited to be able to introduce Eric to a large gathering of our customer community at Momentum. In my new role as Executive Vice Chairman, I look forward to supporting Eric and our global teams in any way that I can. Today, I'll be available to answer any product or industry questions as well as provide any historical context that may be helpful. So with that, over to Eric.
Eric Clark: Great. Thank you, Eddie, for the warm introduction. Good afternoon, everyone, and thank you for joining us as we review our first quarter results and full year 2025 outlook. Manhattan is off to a solid start to 2025, posting better than expected top and bottom line results. But before we review the specifics on the quarter, I'd like to share a few perspectives on our business and the market. Manhattan's strengths are well established. Our platform, our products, and our people are world class. Our unified cloud product portfolio is superior, offering best-in-class functionality. Manhattan is the only vendor named by industry analysts as a leader across the supply chain commerce ecosystem. Organic innovation is in Manhattan's DNA, and our focus and capital allocation strategy will remain intact. Our growth opportunity continues to expand. Our addressable market is forecasted to grow at double-digit CAGR for the next several years. In addition to the market growth, we continue to invest in our products to expand the addressable market that we serve. Our sales team is driving growth through adding new customers, cross-selling our unified product portfolio, and converting our on-premise customers to our cloud offerings. All of these sales channels contributed to strong Q1 bookings and a 25% year-over-year increase in RPO. As our customers navigate the current macro environment, we believe Manhattan is best positioned to help. As tariffs impact the cost of inventory, precise inventory management and handling of inventory to optimally satisfy end customers is more important than ever. The unified capabilities in our products will allow our customers to react faster and with more precision. Over the past several years, we've seen many supply chain disruptions, including the global COVID pandemic. In all of these cases, we've seen the companies with the most agile supply chains excel, and we've also seen these disruptions create long-term demand for Manhattan products. Less than two weeks ago, Google named Manhattan its Cloud business applications Partner of the Year for Supply Chain and Logistics. This award highlights Manhattan's role as an innovator within the Google Cloud ecosystem, its commitment to driving customer success, and its pioneering application of Agentic AI and generative AI within the Manhattan Active suite. This is a great honor and demonstrates two leading engineering companies partnering to deliver innovation for their customers. We will continue to put our customers first as we deliver industry leading innovation and simplification. Supply chains are inherently sophisticated, but our R&D teams are investing in simplifying deployments to reduce the time to value and accelerate the adoption of Manhattan products across DCs and stores. These simplification initiatives are already improving customer experiences, while enabling Manhattan and its customers to move and grow faster. While the current macro environment brings uncertainty to all businesses, I'm excited about our position in the market and our opportunity for growth. So now let's dive into Q1. The quarter exceeded expectations as 21% Cloud revenue growth drove our top line outperformance and earnings leverage. Services revenue performed slightly better than expected, and to-date, we have not experienced any adverse impacts from the macro environment beyond what we shared on our Q4 call. However, given the inherent flexibility of time and materials contracts and the status of the ever changing tariff environment, we remain cautious on our near term services revenue growth. Dennis will share more details on our guidance in just a few moments. RPO ended the quarter up 25% to roughly $1.9 billion as demand for our mission critical solutions remained solid. From a vertical perspective, our end markets are diverse, and we have healthy, established footprints across numerous subsectors. Those sectors include retail, grocery, food distribution, life sciences, industrial, technology, airlines, third-party logistics, and others. For example, Q1 deals included a global cosmetics company, a grocery and drug retailer, a life sciences manufacturer, a global pharmaceutical and medical device company, a department store chain, and a global designer, developer, and marketer of footwear, apparel, and accessories, as well as a number of others. Our Q1 competitive win rates remain consistent at about 70%, and we experienced strength from new customers, with approximately 50% of new cloud bookings generated from net new logos. In addition to the healthy new logo activity, we continue to experience a good mix of conversions, upsells, and cross-sells. As always, while the timing of large deals and the mix of bookings will vary on a quarterly basis, we believe our bookings breadth from both new and existing customers across a broad set of industries and across our full product portfolio exemplifies our multiple opportunities for sustainable growth. And while the macro environment is uncertain, our pipeline remains solid with net-new potential customers representing approximately 35% of the demand. This demand also continues to fuel opportunities for our Services organization. In Q1, our Services team completed over 100 go-lives for our customers. So now let's turn to some product updates. This quarter, we launched a new product offering called Enterprise Promise and Fulfill, designed to optimize B2B order promising and fulfillment, EPF delivers higher order conversion, lower fulfillment costs, and enhanced B2B customer experiences. In recent years, it's been clear that the trend in B2B order fulfillment is around creating more direct-to-consumer like experiences. B2B customer expectations now include the need for capabilities like real time inventory availability and order promising, real time visibility into the order fulfillment process, and the ability to change orders after they've been submitted. Meanwhile, our customers are challenged to fulfill from increasingly complex supply chains, oftentimes the result of acquisitions and geographic expansion. Modern ERPs simply aren't capable of providing this order fulfillment agility. Manhattan Active Enterprise Promise and Fulfill works seamlessly with the customers' existing ERP to provide these capabilities without requiring expensive and risky ERP customization. As many customers are now moving their ERP workloads to the cloud, they're also reevaluating which function should remain in the ERP and which are better served by alternative cloud solutions. Enterprise Promise and Fulfill, along with our broader set of Manhattan Active supply chain planning and execution capabilities is designed to capitalize on this big opportunity. Now turning to our Omnichannel Commerce applications. In Q1, we closed an important deal with a luxury department store. What's particularly notable about this win is the wide breadth of Manhattan Active Omni solutions they plan to implement. Once the rollout is complete, MAO will have replaced their legacy Order Management, Point-of-Sale, CRM, and Chatbot. No other cloud solution provider can deliver these four vital systems on a unified cloud native architecture, all with industry leading functional depth. As retailers look to rationalize the complexity and cost of their existing commerce systems, we believe Manhattan Active Omni puts us in a great position to benefit from the next wave of commerce technology modernization. And speaking of chatbots, we now have multiple customers under contract for Manhattan Active Maven, our Agentic AI customer service bot. Because of its deep pre-built connectivity into the Manhattan Active Omni API, customers can be live and deflecting 40% or more of their chat sessions in a matter of a few weeks. And as of this quarter, Manhattan Active Maven can also answer Email. After voice, Email is still the most prevalent form of inbound inquiry coming into our customers' contact centers. Between Email and Chat, we're now able to significantly reduce the amount of activity performed by customer service agents. More broadly, on generative AI, we continue to make progress developing and deploying Manhattan Assist features across all Manhattan Active platform applications. In addition to pre-existing features like providing application configuration advice and a natural language readout of existing configuration, customers can now add their own documentation to the knowledge base that Manhattan Assist draws from. These new capabilities allow contact center agents to ask questions about return policies. They also allow warehouse associates to ask questions about where they're supposed to induct a full tote and allow transportation planners to ask questions about their company's routing guide. We continue to see strong use of Manhattan Assist across our omnichannel commerce and supply chain execution customers. We'll be providing a preview of more Agentic AI capabilities next month at Momentum. So that concludes my business update. Next, Dennis will provide you with an update on our financial performance and outlook, and then I'll close our prepared remarks with a brief summary before we move on to Q&A. So, Dennis, over to you.
Dennis Story: Thanks, Eric. Hats off to our Manhattan global teams continue to execute well in a very challenging macro environment. For the quarter, we delivered a better-than-expected financial performance on the top and bottom lines. This includes solid results across RPO bookings, cloud revenue growth, operating margin expansion, and free cash flow generation. FX volatility persists and was roughly a $2 million headwind to Q1 total revenue. However, it was a $14 million tailwind to sequential RPO growth and did not have a meaningful impact on the year-over-year RPO growth. Now turning to our Q1 results. Our growth rates are reported on a year-over-year basis unless otherwise stated. For the quarter, total revenue was $263 million, up 3%. Cloud revenue increased 21% to $94 million, and Services revenue declined 8% to $121 million, which was a bit better than expected. As previously discussed, the year-over-year decline in Services revenue reflects customer budgetary constraints that shifted Services work to future periods. As Eric highlighted, given the uncertain macro environment and inherent flexibility of time and material contracts, we remain cautious on our near term Services revenue growth. We ended Q1 with RPO of $1.9 billion, up 25% compared to the prior year and 6% sequentially. The solid Q1 performance was driven by a healthy mix of sales from both new and existing customers. Our average contract duration remains at 5.5 years to six years. However, some customers are electing longer ramp timelines, while the full contract is non-cancellable, we believe the current environment has resulted in several customers to take a more conservative approach to the first half implementation timeline of their contracts. Accordingly, we expect 38% of RPO to be recognized as revenue over the next 24 months. As Eric stated, our teams are focused on accelerating the adoption of our products, and our contracts always allow customers to amend their timeline for quicker deployments, but not slower ones. Adjusted operating profit was $91 million with an adjusted operating margin of 34.7%. This is up over 340 basis points year-over-year. Our performance was driven by strong Cloud revenue growth combined with operating leverage as our Cloud business continues to scale. Turning to EPS, we delivered Q1 adjusted earnings per share of $1.19, up 16%, and GAAP earnings per share of $0.85, down 1%. Moving to cash. Operating cash flow increased 37% to a solid $75 million. This resulted in a 28% free cash flow margin and 35% adjusted EBITDA margin. Regarding the balance sheet, deferred revenue increased 12% to $298 million. We ended the quarter with $206 million in cash and zero debt. In the quarter, we leveraged our strong cash position and invested $100 million in share repurchases. Additionally, our Board has approved the replenishment of our $100 million share repurchase authority. Now on to our 2025 guidance. Our long-term and long-standing financial objective is to deliver sustainable double-digit top line growth and top quartile operating margins benchmarked against enterprise software comps. These are drivers to our best-in-class return on invested capital as we maintain a balanced investment approach to growth and profitability. As noted on prior earnings calls, our goal is to update our RPO outlook on an annual basis. Additionally, as previously discussed, our bookings performance is impacted by the number and relative value of large deals we closed in any quarter, which can potentially cause lumpiness or non-linear bookings throughout the year. As discussed earlier on this call, the macro environment clearly remains very uncertain, which has increased our caution, while clarity on external variables is limited after numerous conversations with customers and prospects and an analysis of our business, we are reiterating our full year RPO, total revenue, and operating margin outlooks. To account for our share buyback activity, we are increasing our EPS outlook. And finally, we stated in our Safe Harbor introduction, the turbulent global macro environment could materially impact our performance and cause actual results to differ materially from our projections. And with that, for RPO, we continue to target $2.11 billion to $2.15 billion. For total revenue, we continue to target $1.06 billion to $1.07 billion. For Q2, we expect total revenue of $263 million to $265 million. For the rest of the year, at the midpoint, we are targeting total revenue of about $271 million in Q3 and accounting for retail peak seasonality of $267 million in Q4. For adjusted operating margin, while in ordinary times, we would have passed through our Q1 outperformance given the macro uncertainty, we are reiterating our midpoint of 33.25%. At the midpoint, we expect adjusted operating margin on a quarterly basis to be about 33% for Q2, 33% in Q3, and, accounting for retail peak seasonality, about 32.5% in Q4. To account for our share buyback, our full year adjusted earnings per share range increases to $4.54 to $4.64, up from our prior range of $4.45 to $4.55. On a quarterly basis, we are targeting Q2 earnings per share of $1.13 Q3 of $1.16, and accounting for retail peak seasonality $1.12 in Q4. For GAAP earnings per share, our range is increasing to $3.06 to $3.16. For Q2, we are targeting GAAP earnings per share of $0.75. Here are some additional details on our 2025 outlook. For full year 2025, we continue to expect Cloud revenue of $405 million to $410 million. On a quarterly basis, this assumes $99.5 million in Q2, $104.5 million in Q3, and $109 million in Q4. For Services, we continue to expect a range of $494 million to $500 million. On a quarterly basis, this assumes $126 million in Q2, $129 million in Q3, accounting for retail peak seasonality $121 million in Q4. For maintenance, we expect a range of $118 million to $120 million, or a 14% decline at the midpoint on attrition to cloud. On a quarterly basis, we expect Q2 $30 million, Q3 $29 million, and Q4 $27.5 million. And finally, we expect our tax rate to be about 21% and our diluted share count to be 61.5 million shares, which assumes no buyback activity. In summary, a solid Q1 performance by the Manhattan team. Thank you, and back to Eric for some closing remarks.
Eric Clark: Great. Thank you, Dennis. We are pleased with the better than expected results and strong selling momentum in the quarter. And as we've stated several times, we're cautious on the macro environment, and we'll continue to manage the business in a prudent manner. However, Manhattan's business fundamentals are solid. Our products are considered mission-critical by our customers, and we're excited for the long-term opportunity. Thank you to everyone for joining the call, and thank you to the Manhattan team for their dedication and execution. That concludes our prepared remarks, and we'd be happy to take questions.
Operator: Thank you. We will now be conducting a question-and-answer session. [Operator Instructions] Our first question is from Terry Tillman with Truist Securities. Please proceed with your question.
Terry Tillman: Yeah. Good afternoon. First, I want to say nice job on the 1Q performance. Hi, Eddie. Welcome aboard, Eric, and hi, Dennis and Mike. My first question is, I want to kind of probe on cloud bookings and RPO. And I know it's a tough question, but I mean, we clearly do have a new wrinkle here with tariffs and just the uncertainty there. Yeah. I'm curious about like the sales pipeline and how you see the year unfolding. I know you're all maintaining kind of the RPO dynamics, but is the assumption that maybe near-term, there's a little bit of reconstitution with some of the sales pipeline because folks have to kind of pivot now to focus on cost versus service level and supply chain velocity and we should kind of assume that maybe the way this flows is 2Q and 3Q sales activity could be somewhat impacted and it's more of a kind of a seasonal strong finish in 4Q. So would love to help with what is arguably a hard question, but -- and then I had a follow-up. Thank you.
Eric Clark: Yeah. So this is Eric. I'll jump in. I think from an RPO perspective, clearly, we had a very solid Q1 that we're happy with. And as I mentioned, we continue to see strong pipeline in Q2. I think, when you look at the RPO and converting that RPO to revenue, we feel confident in our guidance. If we see challenges in Q2 and Q3, as we've mentioned before, we think we would see it first in Services. However, we're not seeing that at this point. We continue to see strong bookings performance, and we continue to see strong demand on our Services. And that's why, again, with caution from the macro and we understand that with time and materials contracts, things can change quickly in Services. But right now, we're feeling comfortable with the guidance.
Terry Tillman: Got it. That's an interesting data point, Eric, there on the Services kind of quarter-to-date. Just a follow-up question, and I'll get back in the queue. I'm just curious in terms of this multi-year cloud innovation cycle and investments you've made, I think we'd like to hear about growth investments. So you've delivered on all these products. Now it's time to monetize the heck out of these products. Could you maybe share a couple of interesting opportunistic areas where there's some interesting growth investments you're putting to work this year that could pay dividends over the next couple of years? Thank you.
Eric Clark: Yeah. Sure. So clearly, we're very proud of the fact that our products are market leading and job one is to continue that and make sure they continue to be market leading. However, with the product portfolio that we have in place today, we think it's the right time to invest in sales and marketing and really drive the growth, and at an even faster pace than we already have been driving it. So I do expect that we will continue to invest in sales specialists around many of our new products and make sure that -- we talked about our high win rates against our competitors. We want to continue those high win rates, but we want to be competing for more and more deals.
Terry Tillman: Thank you.
Operator: Our next question is from Brian Peterson with Raymond James.
Brian Peterson: Thanks, gentlemen, and congrats on the strong quarter. So maybe following up on Terry's question, you guys mentioned last quarter that you had a strong start to the first quarter in terms of bookings and RPO. It sounds like you had a solid close this quarter as well. I'd love to understand anything you can share on linearity, as we went through the quarter in any perspective that you can share on how the second quarter started?
Eddie Capel: Yeah. Well, I'll take a little bit of Q1 there, Brian. This is Eddie. Really, it was a pretty strong. There wasn't -- no particular lumps and bumps in the quarter. When you look at the product portfolio that was procured by our customers and prospects, when you look at the vertical industries that we spanned in Q1 and the geo spread, it was all pretty balanced. So that's one of the beauties of our customer portfolio, our vertical portfolio and our product portfolio that we don't -- with these are just pass as they say, put -- we don't have all of our eggs in one basket. So not a ton of lumps and bumps, as I say in the quarter. With regard to Q1, maybe Eric has got a comment or two to make about the forward-looking pipeline, but we feel good about where the pipeline is. It's a bit early in the quarter, but activity is strong, and we certainly have high expectations for the quarter.
Eric Clark: Yeah. I think that set it well. And the only thing I would add to that is, as I mentioned in the prepared remarks, 50% of the new cloud bookings in Q1 were from net-new logos, and that shows a strong demand for our products. And typically, we think conversions and cross-sells, selling to existing customers, can be quicker and easier. So to start the year with 50% new logo in Q1, I think is a really good statement for us.
Brian Peterson: Great. Appreciate all the color. And Dennis, maybe a follow-up for you. I appreciate that you're guiding quarterly in this kind of environment. But just your thought process on keeping the op margin the same. Just to be clear, are there any incremental investments that you're making in terms of product or go-to-market, or is that maybe a little bit just conservatism from your end? Thanks, guys.
Dennis Story: Yeah. It's kind of -- Eric brought that up, really focused on sales and investing in sales and marketing, Brian, would be my probably primary call out.
Brian Peterson: Got it. Thanks, guys.
Eric Clark: Thank you, Brian.
Operator: Our next question is from Joe Vruwink with Baird.
Joe Vruwink: Hi. Great. Thanks for taking my questions. When you think about the theaters of cloud bookings between migrations, cross-sell, new logos, do you think one of those is more resilient in the current environment? I mean, I wouldn't have thought new logos would be the thing that really stands out, but it did in the quarter. So that's kind of the heart of my question. I guess you're dealing with big enterprise customers, and so they're probably thinking about what their fulfillment needs to look like years from now. But is there a certain resiliency in one driver of your bookings where you would say, yeah, the macro is turbulent, but these decisions still likely get made in 2025?
Eddie Capel: I don't think -- it's Eddie, Joe. I don't think there's any particular segment that is stronger than the other or more resilient than the other. I mean, we -- as Eric pointed out, we did have a terrific quarter from a new logo perspective. But as you know, and I think most of our community knows, that does bounce around on a quarter-to-quarter basis. We've seen it as high as, I think 55% in the quarter. We've seen it as low as high-teens in a quarter. When you average and look at all that -- smooth all that stuff out, it tends to be a third, a third, a third, sort of across the board. So I don't think there's one versus the other. Again, as Eric pointed out, whilst certainly there is acute focus on spending across every company on the planet at the moment. Inventory levels are likely to drop a little bit, making inventory more precious than ever. Customer expectations don't lower. So you need really precise supply chain execution, kind of across the board. So, I don't think we expect to see any particular shifts in priorities and resiliency across our channels.
Joe Vruwink: Okay. Great. And then I wanted to ask the 38% share of RPO converting to revenue in the next 24 months, that's a tick down from, I think, the 40% you normally see as you can calculate the implied bookings on RPO. I guess just based on that activity, and maybe that is a bit of a new normal here in the near term, do you think that the 20% growth in cloud subs that you spoke about last quarter, is that the right number to think about for this year and next year? And I'll turn it back over. Thank you.
Eddie Capel: Well, I'll kick that off, Joe. Yes, is the answer to the 20%. I don't think there's any change there, obviously, not a radical change in terms of 40% to 38%. Just as we see some of these bigger global deals come into the family, bigger logo -- a big Tier-1 logo come into the family, there is just the ramp of some of those rollouts across the globe, it's just a little slower. Now it doesn't change obviously, the terminal RPO of the company, just shifts around a little bit when we recognize that revenue. That's all.
Joe Vruwink: Thank you.
Eddie Capel: Sure.
Operator: Our next question is from Dylan Becker with William Blair.
Dylan Becker: Hey, gentlemen. Congrats on the results here. Maybe for Eric or Eddie to start, can you help us kind of think through how customers are navigating kind of some of the puts and takes, obviously, in the current macro, you could argue real-time visibility planning and execution is incrementally more important, but it is a large transformational project. Like, how that kind of force ranks in their investment kind of cycle relative to kind of putting out maybe some more immediate term types of fires, if that makes sense.
Eddie Capel: Yeah. I mean, it's very hard to predict, Dylan. The crystal ball, no question, I think, is a little cloudier than it's been for just about every company on the planet at the moment. But as we look at the execution of the supply chain, certainly visibility and so forth is always important. But I think precise execution is going to be top of mind in terms of inventory management and getting that precious inventory into the right place at the right time and into the hands of the consumer when they expect it because I don't think that regardless of everything else that's going on around the world, frankly, I don't think the expectations of the consumer are going to change, right. They're going to like, yeah, this is going to tariff -- but I still want my products tomorrow. It just doesn't change, which means that any manufacturer, wholesaler, distributor, retailer is still going to have to focus on executing at a really, really high level, and obviously, we can help them do that.
Dylan Becker: Got it. Okay. That's helpful. Thanks, Eddie. And then maybe for Dennis, going back to the ramp kind of contract component, right, slight elongation, slower components there. But how do you think about the incremental visibility and maybe how we should think through some of these multi-year ramps that are already in place or in process, and how that kind of gives you visibility and confidence in kind of that 20% sustainable kind of growth trajectory, if that makes sense. Thanks.
Eddie Capel: Well, before Dennis kicks in, or maybe Eric has got to comment here. We have essentially the ultimate visibility. We know exactly what the contract duration is. We have essentially a documented ramp process built in or ramp built into that contract. So the visibility is very, very clear. Now, again, as Eric pointed out, we've got some things that we've got in the hopper here to try to help accelerate deployments and help time to value for our customers, and generally, they're pretty open to that. So there's an opportunity for us to maybe speed up a little bit that revenue process during the contract duration, but we've got really, really good visibility into that.
Dennis Story: No, we have great, as Eddie said, great visibility. We have an internal metric we call bank revenue, and basically, the free cash flow component is pretty strong, as you can imagine. But as Eddie said, just great, great visibility. Multi-year projection.
Dylan Becker: Perfect. Thanks, guys. Really appreciate it.
Operator: Our next question is from George Kurosawa with Citi.
George Kurosawa: Hey. Thanks for taking the questions here. You called out some work you did talking to customers, you're doing some independent analysis that ultimately led you to reiterate the guide. I'd love if you could just double-click on what you learned there, qualitative insights.
Eddie Capel: Well, I'll let Eric pick this one up. But it wasn't so much we did any primary research with customers. We're in contact with our customers on a constant basis. So, I think it was a process of looking across that pipeline, talking to customers, talking to our prospects that led us to believe that we were comfortable reiterating our annual RPO number.
Eric Clark: Yeah. And in addition to the constant communication with our customers, and we have that particularly in the customers where we're deploying and we've got services projects going on, it's in addition to quarterly and monthly reviews, our team is very actively gauging the demand from a Services perspective from those clients and all of those factors were taken into consideration.
George Kurosawa: Okay. That's helpful. And then I also wanted to clarify the FX component in the full year revenue guide. I think you called out $20 million headwind last quarter. Based off the FX moves, what's baked into the full-year guide now at this point?
Dennis Story: Yeah. Less than 1%, George, tailwind.
Eddie Capel: It's moving around obviously quite a bit, George, but it's -- again, it's a less than 1% tailwind for sure. And we keep our eye on it. Obviously, every quarter, we'll report out what the real-time situation looks like.
George Kurosawa: Okay. Thanks for the help.
Eddie Capel: Thanks.
Operator: Our next question is from Mark Schappel with Loop Capital Markets.
Mark Schappel: Hi. Thank you for taking my call, and nice job on the quarter. Eddie, with respect to your deal pipeline, I was wondering if you could just comment on the strength of the large deals in the pipeline and maybe how that compares with, say, a year ago? And then also, if you could just comment on maybe the confidence in your closure rates with respect to last year as well?
Eddie Capel: Yeah. Good question, Mark. I mean, it's favorable for sure. Pipeline continues to grow, and sort of to the underbelly of your question there, what does the large deal pipeline look proportionally similar this year than it did last year, given the pipeline is growing? And the answer to that is yes, for all of the reasons, frankly, that we've talked about before. So I would say yes and yes to -- in answer to your question there.
Mark Schappel: That's fair. Thanks. And then, as a follow-up, it was nice to hear about the large omnichannel deal that was called out in the quarter. I was wondering if you just provide some additional details around that deal, such as maybe who you competed with, the length of the sales cycle.
Eddie Capel: Yeah. This one goes back. So I'll take those back a bit, so I can certainly take this one. Listen, I can't remember the exact sales cycle duration, but a little over a year for sure. It's a -- more of this detail to come up. We just don't have authorizations to use names and stuff at the moment, but we will, I'm sure going forward. But it's a department store for Omnichannel and Point-of-Sale. So we're really excited about it. This is frankly our first real luxury department store for Point-of-Sale. So we're very excited about that. And as I say, more details coming, but little over a year in terms of the cycle, competing with everybody, it's a deal that everybody was chasing, frankly, and glad to come out on top.
Mark Schappel: Great. Thanks. That's all for me. Thanks.
Operator: Our next question is from Lachlan Brown with Redburn Atlantic.
Lachlan Brown: Hi, Eddie, Eric, Dennis, Mike. Congrats on the strong quarter. It looks like there was strong delivery on EMEA relative to the Americas. How should we think about the FX benefit in there? And notwithstanding that, would it be fair to say that there's more supply chain certainty and willingness to invest from your European customer base?
Eddie Capel: Well, so as Dennis pointed out, the FX swings represent less than 1%. So, not really a big impact there. We always call them out. We always want to provide full transparency there for sure, Lachlan. In terms of the enthusiasm, spending enthusiasm across the theaters, I would say it's a bad equal across the three theaters that we operate in. Q1 was a little lower for EMEA for sure, but those things bounce around again quarter-by-quarter. And when we look at the annual -- an annual pipeline across all those theaters, we're certainly encouraged by all of them.
Lachlan Brown: Thanks for the detail. And in this uncertain tariff environment, could you maybe talk to some of the capabilities that your active cloud solution can provide that perhaps the on-premises solution cannot? And maybe do you see this as enough to be a trigger the cloud migration for some of your customers in the near term?
Eddie Capel: Yeah. I don't think it's going to trigger any particular activity in the near term moving from on-prem to the cloud. Lachlan, one never knows exactly, but I don't think so. Because our projects are mission-critical and, as volatile as the environment is today, generally, those are not going to push our customers into making near-term and short-term decisions. But in answer to the first part of your question, the flexibility and the agility of our cloud solutions, the ability to be able to update them in real-time with zero downtime is really helpful in this environment where, again, inventory is -- it can be and will likely be a highly valued commodity and will be important to make sure it's in the right position at the right time and our customers will need the ability to be able to as the expression goes turn-on a dime when things -- when things change.
Lachlan Brown: That's very clear, Eddie. Thanks for the questions.
Eddie Capel: Pleasure, Lachlan. Thank you.
Operator: There are no further questions at this time. I would like to hand the floor back over to CEO, Eric Clark.
Eric Clark: Great. Thank you all for joining. Appreciate your time and look forward to speaking to you again next quarter.
Operator: This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation.